Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the BioLife Solutions, Inc. Q4 2025 Shareholder and Analyst Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. I would now like to turn the call over to Troy Wichterman, Chief Financial Officer of BioLife Solutions, Inc. Please go ahead.
Troy Wichterman: Thank you, operator. Good afternoon, everyone, and thank you for joining the BioLife Solutions, Inc. 2025 Fourth Quarter Earnings Conference Call. On this call, we will cover business highlights, financial performance for the fourth quarter and full year 2025, and provide 2026 financial guidance. Earlier today, we issued a press release announcing our financial results and operational highlights for the fourth quarter and full year of 2025 and provided 2026 financial guidance, which is available at biolifesolutions.com. As a reminder, during this call, we will make forward-looking statements. These statements are subject to risks and uncertainties that can be found in our SEC filings. These statements speak only as of the date given and we undertake no obligation to update them. Unless otherwise noted, all financial measures discussed reflect non-GAAP or adjusted results. Reconciliations of GAAP to non-GAAP or adjusted financial metrics are included in a press release we issued this afternoon. Now I would like to turn the call over to Roderick de Greef, Chairman and CEO of BioLife Solutions, Inc.
Roderick de Greef: Thanks, Troy. Good afternoon, and thank you for joining us for BioLife Solutions, Inc.'s fourth quarter and full year 2025 conference call. 2025 was another strong year for BioLife Solutions, Inc., delivering double-digit revenue growth, operating margin expansion, and improved profitability. Throughout the year, we executed consistently against our key strategic priorities, advanced our efforts to reposition the portfolio, and strengthened the foundation to scale the business for years ahead. We exit the year simpler, more focused, and structurally stronger. With the divestiture of our EVO product line behind us, we enter 2026 with a strong balance sheet and a fully optimized portfolio that plays to our strengths and positions BioLife Solutions, Inc. to drive sustainable, profitable growth and shareholder value. Compared to 2024, our 2025 results from continuing operations demonstrate our increasingly attractive financial profile, which is driven by the culmination of our multiyear strategic transformation, a streamlined portfolio centered on market-leading consumables, and sustained growth from our commercial CGT customers, which reinforces our positioning to benefit from the continued growth and maturity of our end market. On the top line, total revenue grew 29% to $96 million, landing at the high end of our guidance, which was raised twice in the second half of the year. While gross margin experienced a decline year over year, primarily reflecting product mix and lower bag yields in the second half, operating leverage more than offset this impact and contributed to an increase in adjusted EBITDA of $25 million, or 26% of revenue, up from $13 million, or 18% in 2024. In the fourth quarter, total revenue reached $24.8 million, increasing 20% year over year, driven primarily by continued strength in our biopreservation media, or BPM, franchise with broad-based growth across our entire cell processing tools portfolio. Turning to Q4 revenue composition, our BPM product line accounted for approximately 85% of total revenue, with our top 20 BPM customers continuing to account for roughly 80% of BPM revenue. This concentration provides enhanced visibility into demand across the core part of our business. These metrics remain consistent with prior quarters and reinforce the stability of our recurring revenue base. Staying with our BPM products, direct customers continue to represent the majority of our mix versus distribution, and commercial BPM customers accounted for nearly 50% of revenue, up from the low-40s range in 2024. Both of these metrics reflect the ongoing shift toward later-stage and approved therapies that support both near-term and long-term growth. Stepping back from the quarter, our position within the broader CGT landscape remains strong. Our BPM products are embedded in 16 approved therapies and utilized in more than 250 relevant commercially sponsored CGT trials in the U.S., representing over 70% share. This includes more than 30 phase 3 trials in which our share is approaching 80%, underscoring BioLife Solutions, Inc.'s position as the partner of choice for later-stage clinical programs where success rates are higher and the path to commercial revenue is more clearly defined. Longer term, a key driver of CGT market growth remains the pace of FDA approvals, including unique therapy approvals, expanded indications, geographic expansion, and movement into earlier lines of treatment. While 2025 saw fewer approvals relative to 2024, we anticipate up to five unique therapy approvals over the next twelve months along with one new indication and at least one geographic expansion. We believe that the unique approval funnel is beginning to regain some momentum. This evolving regulatory backdrop supports our ability to capture additional value, especially within the late-stage programs we are already embedded in. Building on our BPM market leadership, we are working to expand our role within these clinical and commercial programs beyond biopreservation media. Our sales and marketing team is actively driving adoption of our broader cell processing tools across our marquee BPM customer base. As we have discussed previously, this cross-sell opportunity has the potential to increase our revenue per patient dose by two to three times relative to our BPM products alone, as customers incorporate additional components of our offering into their workflows. We have numerous product evaluations underway, including several with our largest commercial customers. While adoption cycles are lengthy, engagement remains strong and we expect to demonstrate some traction in 2026. Complementing our cross-sell strategy, we are also evaluating portfolio adjacencies that build on our scientific and commercial capabilities. In 2025, we assessed opportunities aligned with our product profile requirements that could broaden our product offering and bring additional value to our customers. One attractive strategic adjacency we identified is cytokines, which represent a natural complement to our emerging HPL product line. Earlier this month, we entered into a strategic distribution and product development agreement with UK-based Qkine Limited. The agreement provides us with exclusive distribution rights for certain cytokine products and nonexclusive rights for others within the CGT market. In addition, our product development teams will work together to package and store certain cytokine products in our CellSeal vial line. Our acquisition of Panthera and the investment in Pluristics last year, together with this new partnership, reflect our strategy to expand the platform through targeted M&A, minority investments, and strategic collaboration. These actions broaden our offering and increase our participation in the evolving cell therapy ecosystem. Turning to our outlook for 2026, we issued guidance this afternoon which included revenue between $112 million and $115 million, representing growth of 17% to 20%. As in prior years, our initial guidance reflects the visibility we have today based on the demand forecast from our key BPM customers. In addition, we see continued operating and adjusted EBITDA margin expansion and expect the company to generate full-year GAAP net income for the first time in many years. Before handing it over, I would like to comment on some recent developments in the cell therapy space, including encouraging clinical data in larger indications, continued advances in automation and manufacturing scalability, and renewed strategic investment by large pharma through multibillion-dollar acquisitions and next-generation facility buildouts, all of which reinforce our confidence in the long-term trajectory of the field and the attractiveness of the CGT market. BioLife Solutions, Inc. is well positioned as a market leader to benefit as these dynamics translate into durable demand over the long term. With that, I will hand the call over to Troy, who will provide an overview of our full Q4 and 2025 results and more details of 2026 guidance. Troy?
Troy Wichterman: Thank you, Rod. Today, we will be reviewing current and prior period financials from continuing operations for Q4 and full year 2025 and providing 2026 financial guidance. Unless otherwise noted, all financial measures discussed reflect adjusted non-GAAP measures. Before we start with the financials, I am pleased to report we implemented our ERP manufacturing modules in February with no disruption to operations. This module allows for greater automated processes and controls in our manufacturing, quality, and accounting functions. This, in turn, provides a systematic foundation and automated processes to leverage into our planned growth. As shared in our press release today, we reported total Q4 revenue of $24.8 million, representing an increase of 20% over the prior year, and full-year revenue of $96.2 million, representing an increase of 29% over the prior year. The year-over-year increase in both periods primarily related to increased demand for biopreservation media from our customers with commercially approved therapies. For the full year 2025, we had growth across all product lines except our HPL media business, which was flat year over year due to certain import restrictions in China, which have since been abated. Adjusted gross margin for Q4 2025 was $15.8 million, or 64%, compared with $14.0 million, or 67%, in the prior year. Full-year adjusted gross margin was $63.2 million, or 66%, compared with $51.4 million, or 69%, in the prior year. The decrease in adjusted gross margin as a percentage of revenue in both periods was due to a continuing product mix shift toward bags, which carry lower gross margins than bottles, and we had lower-than-anticipated bag yields in the second half of the year. Improving bag yields is a clear operational priority as we enter 2026. Adjusted operating expenses for Q4 2025 totaled $14.7 million compared with $13.8 million in the prior year, and for the full year were $59.3 million compared to $52.9 million in the prior year. Adjusted operating income for Q4 2025 was $0.9 million compared with adjusted operating loss of $0.2 million in Q4 2024. Full-year adjusted operating income was $2.9 million compared to adjusted operating loss of $2.6 million in the prior year. Adjusted net income was $1.9 million in Q4 compared to adjusted net loss of $0.1 million in Q4 of the prior year. Adjusted net income for the full year was $6.3 million compared to adjusted net loss of $2.9 million in the prior year. The increase in adjusted operating income and adjusted net income was primarily driven by an increase in revenues year over year, in addition to a decrease in our sales tax accrual of $1.3 million. This was partially offset by increases in R&D expenses from increased headcount and investment in key projects. Adjusted EBITDA for Q4 2025 was $6.9 million, or 28% of revenue, compared with $3.7 million, or 18% of revenue, in Q4 of the prior year. Adjusted EBITDA for the full year was $25.0 million, or 26% of revenue, compared with $13.3 million, or 18% of revenue, in the prior year. Our adjusted EBITDA increased primarily due to higher revenue. In addition, we had a $1.3 million gain on a sales tax true-up recorded in Q4, which had approximately a 500 basis point impact on our adjusted EBITDA margin in Q4 and a 100 basis point impact for the full year. Turning to our balance sheet, our cash and marketable securities balance at 12/31/2025 was $120.2 million, compared with $98.4 million at 09/30/2025 and $105.4 million at 12/31/2024. Taking into consideration our adjusted EBITDA of $6.9 million, our increase in cash during Q4 2025 was primarily related to the $23.5 million in cash proceeds from the divestiture of SAVSU, partially offset by CapEx spend of $4.4 million, working capital usage of $2.2 million, and debt payments of $2.5 million. Our remaining SGD debt balance at 12/31/2025 was $5.0 million, all of which is short term. We expect to pay off the entirety of the loan by June 2026, in addition to a $1.2 million loan maturity balloon payment due at the time of maturity. Turning to 2026 financial guidance, total revenue is expected to be $112.5 million to $115.0 million, reflecting overall growth of 17% to 20%. The increase is primarily due to expected demand from our BPM customers with commercially approved therapies as well as increased demand for our other tools. We expect GAAP and adjusted gross margin for the full year to be in the mid-60s. We expect gross margins generally to be in line with 2025 due to favorable higher average selling prices, partially offset by product mix, primarily due to higher growth rates from our other cell processing tools. As Rod stated, we expect to achieve full-year positive GAAP net income and further expansion of adjusted EBITDA margins compared to 2025. The expected improvement in net income and adjusted EBITDA margins from 2025 is primarily driven by expected increased revenue, partially offset by expected increases in R&D and sales and marketing expenses to support our longer-term growth plans. Finally, in terms of our share count, as of 02/19/2026, we had 48.3 million shares issued and outstanding and 50.2 million shares on a fully diluted basis. Now, I will turn the call back to the operator to open up for questions. Thank you.
Operator: We will now open for questions. The first question comes from Matthew Stanton with Jefferies. Please go ahead.
Matthew Stanton: Maybe just to kick off for the guide, any more color you can provide in terms of assumptions between commercial and clinical? Rod, I think you said commercial went from low-40s to the mix to about 50. Can we see a similar magnitude of uptick in 2026 on the commercial side? And then just on the clinical side, are you starting to see some of the positive biotech funding data show up in activity levels or orders from customers? Just a little more flavor on what you are starting to see on the clinical side would be helpful as well. Thanks. And then just on the bag yield impact, is there any way to quantify what that was as a headwind in terms of margins in 2025? And then, Rod, I think you talked about it as a clear priority for 2026. Can you just talk a little bit more about timing and logistics in terms of resolving the bag yield headwind you saw in the back half of the year here? Thanks.
Roderick de Greef: Sure. So we had a strong increase in our commercial customer revenue as a portion of total revenue. As we mentioned, it is about 20 points—actually, sorry, a little less than 10 points. But I think it is going to be not quite that much, and I would expect our commercial customers to be somewhere between 50%–55% in 2026. With respect to the second half of your question, we are not really seeing any significant uptick. And I think the reason for that is these customers are small, Matt. And so to the extent that they are either constrained or not constrained, the amount of product they buy from us is pretty small in their early stages. So we are really not seeing any major effect of that. As for bag yields, I think it is about a 2% or three-point headwind on gross margin in the second half of the year. I believe that we have found a solution to the issue. It is a solution that requires a 90-day customer notification. So we have that piece that is, by definition, built in from a timing perspective. And then in addition to that, we have to sell through the higher-cost inventory that we have, in terms of finished product that is in bags sitting in our warehouse, before we will start to see the impact of the higher-yield bags come through, which we expect would be right around Q4 of this year.
Operator: The next question comes from Anna Snopkowski with KeyBanc Capital Markets. Please go ahead.
Anna Snopkowski: Hi. This is Anna on for Paul. Thanks for taking my question and congrats on a great quarter. My first question is just around the CAR-T market. It seems like we are getting better patient access with the REMS removal. I was just wondering if you have seen this impact your top line at all or just customers' outlook at all? And then could you just remind us your exposure to CAR-Ts at this point? And then, just quickly following up on your outlook for 2026, how much would you say is rooted in commercial growth versus dependent on improving macro conditions in clinical trials? Or would you say most of your outlook is towards the commercial side? Thank you.
Roderick de Greef: Yes. In terms of our commercial exposure, I would say it is at least over 80% with respect to CAR-Ts at this point, if not a little bit higher. It is really hard, Anna, to try to parse out the impact of REMS first. It just happened right within the last six months or so, and I think it is going to take a while for that to flow through to an increased number of patients being treated. So while we think it is an excellent move in the right direction—because I think patient access is probably the single largest constraint to the overall adoption—I have read where 20% of people who are eligible for CAR-T are actually receiving CAR-Ts. So I think patient access is a key factor in future growth, but it is hard to try to parse it out to the point of saying we have seen anything or not seen anything. And on 2026, I think it is fair to say that the primary driver for growth this year is going to be continued growth from the commercial customers that we have.
Operator: The next question comes from Brendan Smith with TD Cowen. Please go ahead.
Brendan Smith: Great. Thanks for taking the question, guys. I actually wanted to follow up on your commentary regarding the cross-selling there. Just a little bit more. Can you maybe expound a bit on really what ultimate success kind of looks like within that initiative? And sorry if I missed it, but can you just confirm if any contribution through that is included in some of your 2026 guidance assumptions? Or should we think of that more as upside?
Roderick de Greef: Well, we have a base assumption around how much of the growth of our other tools—non-biopreservation media tools—that growth, how much of that is fundamentally related to therapies with respect to, for example, on the CellSeal vial side, versus new business that we are assuming to have come in. So we are pretty clear about that split, although we will not get that granular on this call. I think the ultimate measurement or metric at this time, at least for most of this year until we get a little bit more rigorous in our own data analysis, is the growth rate related to the non-BPM tools versus BPM. And we do expect, as a basket, that the non-BPM tools will grow at a faster percentage rate than BPM, in part because it is a smaller base that we are starting from. But as we put more focus on this and our systems get up to speed, we should be able to start speaking to the number of customers that are using one of our products, two of our products, three or more of our products. And that is definitely a goal internally to pull those metrics together and then figure out a way to report that externally.
Operator: The next question comes from Steven Etoch with Stephens. Please go ahead.
Steven Etoch: Hey, good afternoon and thank you for taking my questions. Maybe one on the partnership agreement you signed earlier this year. It is a pretty interesting deal, maybe a little outside of your normal deal structure, but what can you share with us just in terms of maybe the adoption potential of that product with your CellSeal vials and all that? And secondly, what could the margins look like for that type of business?
Roderick de Greef: Yes. So I am not going to speak specifically to the margins, Mac, just from a competitive perspective. But we certainly have a margin profile that reflects the volume that we anticipate to move. With respect to the combination of their cytokines and our CellSeal vials, that is probably a six- to nine-month development project right there. So we would not expect to see much in the way of that revenue, in terms of pull-through on the CellSeal vial side of things, until the end of this year, early next. But this is a long-term strategic move for us. It is not about generating X amount of revenue in 2026, although we will drive some revenue. But really it is a longer-term market segment, product category that we want to be in, and feel we can win there, and that is why we are there.
Steven Etoch: Appreciate that. And then maybe you touched on the bags being an issue in the second half of last year. But as it relates to CryoCase, do you see that as a potential opportunity to maybe reduce scrap and improve margins long term as CryoCase is adopted?
Roderick de Greef: Yes. So it is important to keep in mind that the CryoCase, as it is configured today, is designed for the final product going from the developer’s factory to the patient. The rigid container—what we call the RCC—is designed and being designed to take 100 mL of our product from our factory to our customer, which is where we have the bag problem. Right? So currently, we are shipping most of our commercial product in bags from our facility to the developer’s facility, and then they drain that and they use it in their workflow. The idea would be to replace that bag on the front end, if you will, with the RCC. And we are probably 18 to 24 months away from doing that. So the remediation that I talked about is really process-oriented on our end, and I think that is going to alleviate the higher-than-average scrap that we have realized over the last six months.
Operator: The next question comes from Matthew Hewitt with Craig-Hallum Capital Group. Please go ahead.
Matthew Hewitt: Good afternoon. Thanks for taking the questions. Maybe first up, just so I heard you correctly, gross margins are still going to be weighed on a little bit here, first half of the year in particular. So we should be thinking somewhat similar in Q1 versus Q4? And then, you know, obviously, the Qkine partnership is unique—an opportunity to get into some new areas. Are you looking or exploring for more of those types of partnerships? Or are you still kicking the tires on potentially adding via acquisition? Thank you.
Troy Wichterman: Yes, that is correct, and actually throughout the remainder of the year. As Rod mentioned, we do have inventory on hand, and it is going to take time to implement our strategies and our customers to adopt the new product format. So if you look at the full year, I would still expect in line with our guidance, as what we said.
Roderick de Greef: Yes. I think it is all three of the things that I mentioned, which would be, you know, an outright targeted acquisition, a minority investment strategy, and/or a strategic collaboration like we have done with Qkine. And that is not to say that what we have done with Qkine is the final end step with them. As this relationship evolves into the future, as we understand how to sell that product better, it could very well be that things develop down the road with that particular company.
Operator: The next question comes from Carl Byrnes with Northland Capital Markets. Please go ahead.
Carl Byrnes: Yes, thanks for taking my question. Actually, most of my questions have been answered. I am just wondering if you are seeing any potential acquisitions that would be in the biopreservation area where the valuations have kind of come back to what would be more normalized attractive levels to pull the trigger? Thanks.
Roderick de Greef: So, Carl, other than the Panthera acquisition, we keep a pretty close eye on what we consider to be potentially competitive technology in biopreservation. And while we are pretty rigorous in evaluating what is out there, nothing has come to our attention that would provide us with any sort of competitive advantage or value proposition that we do not already provide. That is why Panthera was unique, and that is why we made the move with it that we did.
Carl Byrnes: Got it. Thanks. Congratulations again.
Roderick de Greef: Thank you, Carl.
Operator: The next question comes from Michael Okunewitch with Maxim Group. Please go ahead.
Michael Okunewitch: Hey, guys. Thank you for taking my questions today. I guess I would like to ask a little about the Qkine collaboration. In particular, how comprehensive is this, and are there other commonly used cytokines and growth factors for cell and gene therapy manufacturing that might be the subject of future agreements or M&A activity? And then just to follow up on that, as you are saying that there is exclusivity on a limited number of cytokines, but is that exclusivity going both ways as in terms of who else can use CellSeal for those particular cytokines, potential distribution agreements that you may enter or any acquisition, trying to see if the exclusivity is just for you or for them to you as well.
Roderick de Greef: Yes. I think the short answer is yes. The deal as it stands now is specific, from an exclusivity perspective, to certain of their cytokines that we believe are geared toward the types that are used by our key customers, as well as the pipelines that they have. So that is why it is a fairly narrow exclusivity. And we do have access to a much broader number of products on a nonexclusive basis. So, again, I would reiterate that this is the first step. We spent quite some time developing the relationship, primarily through our VP of Sales who is also located in the UK and has a history with these folks. And so I would say it is step one of a number of different ways the relationship could continue to move forward. Well, right now, it is one way for us relative to their cytokines. We have a sort of loose intent between the two parties around CellSeal, so we have to pay for that still. But I anticipate, based on discussions that we have had, that it is in their interest and our interest to widely have their products sold through with the CellSeal packaging to wherever it needs to go, or wherever they would like it to go, because that benefits us and it benefits them. And it is unique to them. We do not anticipate at this point in time entering into any agreements with other cytokine manufacturers to utilize the CellSeal vial.
Michael Okunewitch: Alright. Thank you very much. I appreciate the additional color.
Roderick de Greef: You bet.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Roderick de Greef for any closing remarks. Please go ahead.
Roderick de Greef: Thank you, operator. In closing, we expect 2026 to be another strong year of revenue growth, operating margin expansion, and increased profitability. As the broader macro environment continues to evolve favorably, we remain focused on supporting our core BPM customer base, increasing adoption of our non-BPM products, and driving operational excellence across the organization. We are confident that our market leadership and business model position BioLife Solutions, Inc. to benefit from the secular trends developing across our growing yet still early-stage end markets, enabling us to deliver sustainable revenue growth, expanding profitability, and long-term shareholder value creation. Thank you for your time today. I look forward to seeing some of you at upcoming investor conferences.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.